Operator: Good afternoon. My name is Melissa and I will be your conference operator today. At this time, I would like to welcome everyone to the Q2 2016 Hyster-Yale Materials Handling Inc. Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Ms. Chris Kmetko. You may begin your conference.
Christina Kmetko: Thank you. Good morning, everyone and welcome to our 2016 second quarter earnings call. I am Christina Kmetko and I’m responsible for Investor Relations at Hyster-Yale. Joining me on today’s call are Al Rankin, Chairman, President & Chief Executive Officer of Hyster-Yale Materials Handling; Colin Wilson, President & Chief Executive Officer of Hyster-Yale Group; and Ken Schilling, our Senior Vice President & Chief Financial Officer. Early this morning, we published our second quarter 2016 results and filed our 2016 second quarter 10-Q. Copies of the earnings release and 10-Q are available on our Web site. Anyone who is not able to listen to today’s entire call, an archived version of this webcast will be on our Web site later this afternoon and available for approximately 12 months. I would also like to remind participants that this conference call may contain certain forward-looking statements. And these statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements made here today, in either our prepared remarks or during the following question-and-answer session. We disclaim any obligation to update these forward-looking statements which may not be updated until our next quarterly conference call if at all. Additional information regarding these risks and uncertainties were set forth in our earnings release and in our 10-Q. Also, certain amounts discussed during this call are considered non-GAAP. The non-GAAP reconciliations of these amounts are included in our earnings release and available on our Web site. Let me start by saying we completed the Bolzoni transaction, at the end of the second quarter we owned approximately 94% of Bolzoni’s outstanding shares. We acquired the remaining 6% in the first few days of July and Bolzoni was de-listed on July 06th. Our total cash acquisition price was €189 million or approximately $123.1 million. With the additional Bolzoni we now have three business segments, lift trucks, Bolzoni and Nuvera. I will provide the consolidated results and then discuss each one of the segments separately. Our consolidated second quarter 2016 revenues were $645.6 million down from $658.7 million in the prior year quarter, and our net income decreased to $8.3 million or $0.51 per diluted share from $22.7 million or $1.39 per diluted share. The 2016 results include approximately $39 million in revenue and approximately $100,000 of net income from Bolzoni. Bolzoni results were affected by post acquisition expenses related to the purchase and amortization of intangibles. In addition, primarily as a results of the Bolzoni acquisition, second quarter consolidated net income includes acquisition cost totaling 2.9 million pre-tax as well as an additional tax expense of 1.6 million related to accumulated non-deductible acquisition cost. These acquisition cost have all been included in our Americas lift truck segment results. Moving to our lift truck business, second quarter 2016 revenues were down almost 8% to $606.5 million from $658.3 million in the prior year quarter. We made solid gains in our warehouse strategic initiative but a 1,300 unit volume decrease driven by weak Brazil market performance and a wakening big truck market, as well as the shift in mix of products to lower price lift trucks drove the decline in revenue. Lift truck business’ net income decreased to $13.1 million from $26.2 million. The 50% decline in net income was the result of a substantial decrease in operating profit due primarily to lower volumes, higher SG&A expenses including the acquisition cost, and higher U.S. healthcare cost which affected both gross profit and SG&A. Despite the decline in our results, we are seeing benefits from the implementation of our strategic initiatives and we continue make headway with certain target accounts. Our bookings were up 300 units from the prior year quarter, and our backlog of 33,500 units at the end of this quarter was up from 29,900 units at the end of the first quarter of 2016. Looking at the individual geographic segments, Americas was the driver of the unit shipment decrease declining 1,300 units from the prior year. We continue to see strong unit shipments in Latin America but those were more than a offset by a substantial decrease in shipments in Brazil driven by an over 30% decline in the market in the first half of 2016 from already low levels, and the decrease in North America shipments of classes one, two and five trucks including the decline in big trucks as a result of a weakening big truck market. This decline in units as well as the shift in mix to lower price trucks and the unfavorable effect of deal-specific pricing in North America, were the main drivers of the decrease in the Americas revenues. Operating profit also declined significantly in the Americas with both lower gross profit and higher SG&A expenses contributing. We continue to see benefits from material cost deflation and these benefits more than offset the impact of deal-specific pricing. However, the effective adverse mix can lower unit volumes that led to higher manufacturing variances, as well as a $3.1 million increase in U.S. healthcare costs during the 2016 second quarter resulted in the overall decline in gross profit. Selling, general and administrative expenses increased during the quarter primarily from acquisition related costs of 2.9 million, increased marketing-related expenses and higher U.S. healthcare costs partially offset by a decrease in incentive compensation estimates. Europe realized benefits from an increase in shipments of higher margin products and lower SG&A costs in the second quarter, but these benefits were mostly offset by higher warranty related expenses of $2.5 million and unfavorable currency movements of $2.2 million. In our JAPIC segment, second quarter 2016 revenues declined on a 300 unit decrease and a shift in mix to lower price lift trucks while operating profit improved slightly on the absence of a bad debt write off taken in the prior year. We continue to expect currency and the slowdown in several key markets including big trucks to negatively affect our 2016 segment results in the second half of the year, along with an anticipated shift in sales to lower priced, lower margin units. We expect these market conditions to result in a decline in overall unit shipments, revenues and operating profit in the Americas in the second half of '16 compared with the second half of '15. Expected benefits from favorable currency relationships based on current currency rates and anticipated improvements in Brazil's operating results as the economy there starts to improve and our cost reduction and product introduction programs mature are expected to be more than offset by unfavorable manufacturing variances, lower pricing of products, higher employee-related operating expenses and increased professional fees. In addition, net income in the second half of 2015 included the unfavorable effect of a $7.5 million valuation allowance adjustment related to Brazil. We expect the Europe, Middle East and Africa market to grow modestly in the second half of 2015 as the increases in Eastern and Western Europe are expected to be partially offset by a decline in the Middle East and Africa market. Despite these anticipated market conditions, we expect unit and parts revenues to grow more favorably than the overall EMEA market in the second half of 2016, primarily in the fourth quarter as a result of anticipated market share improvements. Nevertheless, we expect operating profit in this segment to decrease substantially in the second half of the year compared with 2015. As I discussed before, EMEA had currency hedges in place that mitigated the unfavorable effect of the strengthening U.S. dollar during 2015. As these hedges expire, increased U.S. dollar-based cost will be incurred. As a result, the strong U.S. dollar's expected to have a larger unfavorable impact on results in the second half of 2016. These unfavorable net currency movements and anticipated shift in sales mix to lower margin products and lower pricing of products are expected to drive the decline in EMEA's operating profit. Finally, we expect the JAPIC market to decline modestly in the second half of the year compared with the second half of 2015 due to lower demand in China mostly offset by modest growth in the other JAPIC markets. However as a result of the continued execution of our strategic initiative, we expect shipments in the second half of 2016 as well as unit and parts revenues and operating profit to increase compared with the second half of 2015 primarily in the fourth quarter. To summarize our overall lift truck business outlook, we're expecting global markets in the second half to be comparable with second half of 2015. Market growth in EMEA is expected to be offset by declines in the Americas market. Despite these market conditions and because of our success in winning new business at large customer accounts, we expect unit shipments and part sales to increase in the remainder of 2016 compared to the 2015. But a shift in mix to lower priced products is expected to mostly offset this increase resulting in revenues for the second half of ’16 to be comparable to the second half of 2015. We also expect operating profit and net income in the second half of 2016 and in the third quarter in particular to be lower than comparable periods in 2015, because we expect the increases in units and parts volume being more than offset by an anticipated shift in sales mix to lift trucks with lower average profit margins, higher operating expenses and unfavorable manufacturing variances. I would also like to note that just last week, we received a favorable tax ruling which is expected to result in the release of an approximately $3 million to 3.5 million valuation allowance previously applied against the Company’s Italian deferred tax assets. Finally, we expect cash flow before financing activities in the lift truck business to be positive but decline substantially in the second half of ’16 compared with the second half of ’15. Turning to Bolzoni, as I explained earlier, Bolzoni had revenues of approximately $39 million and net income of approximately $100,000 in the second quarter, included in net income of 1.9 million of post-acquisition expenses, related to the purchase and the amortization of intangibles. With the Bolzoni acquisition now complete, we can focus on identifying additional opportunities for Bolzoni to increase revenue and profitability. Bolzoni will continue to operate at the standalone business with its own management team and Board of Directors to ensure that the integrity of OEM dealer and customer information is maintained, but we will work to implement cost reduction and sales enhancement programs to continue to grow the business. Bolzoni’s primary market is attachments with Class 1 and Class 5 products. The majority of Bolzoni’s revenues as generated in the EMEA market, primarily Eastern and Western Europe, the solid secondary presence in North America. In this context, we expect Bolzoni’s revenues in the second of 2016 to be comparable to the revenues of €69.2 million reported by Bolzoni in the second half of 2015. Excluding the immediate cost of the acquisition, estimated integration cost and non-recurring purchase accounting adjustments, the addition of Bolzoni is expected to continue to be accretive to consolidated earnings. The implementation of anticipated cost reductions and sales enhancement programs are expected to generate gradual growth in Bolzoni’s operating profit and net income. We’ll probably expect Bolzoni’s net income to gradually increase in the third and fourth quarters of ’16 compared with the second quarter of 2016 as programs are implemented. Finally, our Nuvera business continues to make progress towards the commercialization of its products. Nuvera reported revenues of $200,000 and operating loss of 8.3 million and a net loss of 4.9 million for the second quarter of 2016 compared with revenues of 400,000 and operating loss of 5.9 million and a net loss of 3.5 million in the second quarter of 2015. Nuvera’s operating and net losses increased in the 2016 second quarter primarily because of higher operating cost largely due to an increase in headcount for the start-up of production, continued product development and increased marketing cost as Nuvera began transitioning from product development to commercialization and production of its PowerEdge units. We continue to believe that the fuel-cell market for lift trucks has significant growth potential and excellent prospects and we continue to see strong interest from our customers, dealers and potential partners regarding Nuvera’s products. Early stages of production of Nuvera’s PowerEdge units began in late 2015 and shipments of the first Class 1 and Class 3 PowerEdge units began in early July 2016. We expect Nuvera to begin shipping Class 2 products later in the third quarter of 2016. This progress towards full commercialization is expected to continue throughout the remainder of 2016 and in 2017. Production is ramping up for sales of additional PowerEdge units and negotiations for several large orders are nearing completion and several successful customer demonstrations have been completed. As a result, we expect Nuvera to generate modest PowerEdge unit revenues in the second half of 2016 with new unit sales expected to grow gradually over the third and fourth quarters as production accelerates. Nuvera expects to continue to focus on commercializing its fuel-cell technology by expanding its product line and integrating its technology into the Hyster and Yale lift truck product ranges. As part of this process, we expect Nuvera to increase its focus on reducing manufacturing cost per unit as production increases and greater economies of scale are achieved. As part of the process of ramping up production and transitioning from product development to commercialization engineering, employee-related and marketing expenses are expected to reach moderately higher levels in the second half of 2016 than in the second half of 2015. As a result, we expect Nuvera to generate an operating loss in the second half of 2016 of approximately $14 million to $16 million. Nuvera’s objective is to reach a quarterly breakeven operating profit by the end of 2017 or early ’18 on a run rate of approximately 700 PowerEdge and 10 PowerTap units per quarter at target margin. Nuvera is also exploring a number of partnerships and OEM supply opportunities which will be complementary to its core operating plans that may result in higher short-term costs, but which could potentially accelerate achievement of breakeven results. That concludes our prepared remarks. I will now open up the call for your questions.
Operator: [Operator Instructions] Your first question comes from the line of Mig Dobre from Robert Baird. Your line is open.
Mig Dobre: First question is maybe a clarification on guidance. So if I look at your commentary from this quarter and compare it to last quarter, it seems like, at least on the revenue line, you're more or less unchanged. But where the change is occurring is on a margin side and operating income. If I remember correctly, last quarter you were talking about improvements anticipated in the second half of the year as a result of that pretty healthy backlog. Now we're expecting the second half of the year to be much more challenged, in the third quarter in particular. So, I guess I'm wondering what changed here in the last three months to drive this wedge in current versus prior outlook?
Al Rankin: I think to pause for a minute, I think the revenue we see now in all likelihood as we suggested declining to some degree and that really takes down the operating profit and I think said quite clearly that the mix products that are being sold is significantly adverse to what we have had. There are certain segments of the big truck market particularly in the U.S. that have and in Asia that have slowed down very dramatically, but those trucks are large sales volumes and they generate a great deal of margin. Some of the larger counter balanced trucks that are not classified as big trucks are in industries that have become much slower as a result of a lot of the commodities, industries forces that are at work that you are well aware of, steel and many other industries. There is a lot of maturity out there at this point in the cycle in some of these heavier industries. So I think you have got a combination of some sales volume and some mix significance that have changed. Colin you want to add anything to that?
Colin Wilson: I think if you look at the most significant change is really the in very large trucks that we produce what we call our low volume line out of NYMAG and that trucks about 16 ton in capacity that market peaked probably the end of '14 and tweaked down a little bit in '15 but then we have seen significant drops in ’16 the oil and gas sales really not buying very much, steel continues to be depressed. Ports, there is a lot of overcapacity and a lot of the terminal operators are not doing as well financially. So they have really sort of cut back on their buying. Mining, of course remains down so we have really dialed back our projections on the big truck business particularly in the Americas because of these factors. But we don’t think its permanent we think it's looking at really the balance of '16. Get the election behind us so we move into next year and we do see opportunities for that market to recover us probably we are wanting to make sure that we make the appropriate adjustments now so we don’t end up with too high inventories during this time. Yes the very market is slightly below that the 8 or 16 ton market. That tends to be used in different industries and that segment of the market is also down at this moment in time. It's also that market happens to be down in pretty much across the board including Europe. The European bigger truck market continues to be doing -- to be robust. But -- so we have called down the bigger truck markets. What if you look at the headline numbers for the market size, it’s actually holding up pretty close to last year’s level. But there is a definite mix shift towards the class 3 lower value products and again we see that trend continuing for at least for the balance of this year.
Mig Dobre: Yes, I appreciate the color and that makes sense. I guess sort of sticking with that theme, when I'm looking at North American volumes and I think you and I have discussed this in the past, it seems to me like we are basically at prior peak levels, or pretty close to that. I guess my question to you is, as we look going forward, and you talked about demand potentially after the election, but is there a replacement demand factor here that has now been saturated and we are really kind of going into potentially a more prolonged downturn? How do you think about that?
Al Rankin: Let me say in response to that, that I think there is some truth to the observation you make, but it really requires a little better expansion, in terms of our elaboration. There are certainly customers that we have that have satisfied their needs for trucks over the last few years. And so I would say that some of the faster growth companies even within industries that we have done very well in have not been, necessarily been our traditional customers. Now you may remember that we’ve focused a great deal in the last in our strategic initiatives on programs that we believe can help generate share gain, that takes a while but we have been making a really quite significant account improvements and penetration of new accounts conquest accounts if you will, where we’ve been able to demonstrate to those customers that we can bring more value than the competitor that they’re using today. We’re working very-very hard on that and so to some extent your comment is true about the market, but it’s probably somewhat more true about the customer base and a lot of those customers will use Class 2 and 3 trucks and some Class 4 and 5 trucks and that whole combination of mix of new customers with greater growth prospects than some of the more traditional customers that’s got to be a key focus for us and it continues to be. So, that’s probably helping to drive some of the situation that you’re describing.
Colin Wilson: I mean coming off the great recession Mig, we did see some significant catch up by our traditional customer base. I would say those ended probably couple of years ago so we are in the 12 to 14 range. So I think we got to practice sort of more normal booking patterns by our core customers, but what has happened is our core customers continue to buy their normal way, but a lot of the growth is coming from warehousing, logistics, Internet-based economies and shopping online and what have you and that’s the area that we’re making penetration where a lot of our energies are going from a conquest account perspective and again we’re making some significant in roads. The average value of those trucks sold into those applications tend to be lower than again we get from our core business. And so, but if that’s the way the market is moving we’ve got to make sure that we’re competing effectively in that segment. And again, if you look at the market numbers there is about a 1.5 shift this year away from class 4 and 5 which is where we’ve been historically strong towards the Class 3 product in particular this is the lower value segment. So again, we want to make sure that we gained share in each of the classes and each of the markets, but really with the shift it’s doubly important that we continue to drive forward with our warehouse conquest programs.
Mig Dobre: I see. Yes, thank you for that. Related to your comment as to what's going on with growth and warehousing and so on, one of your competitors announced a pretty big deal the acquisition of Dematic, and obviously they're being very ambitious in trying to build product that addressed this market broadly. My question to you is what do you think are going to be the competitive implications here longer term and do you feel that your Company is well-positioned to address the changing competitive landscape at this point?
Al Rankin: I think the answer is we do feel we're well positioned but I think it requires some elaboration. Dematic business is really in a different marketplace in terms of the product offering that they're providing. It is a very large business on its own with different key factors for success and not highly related to the fork lift truck industry. Our approach is much more focused on taking advantage of the capabilities we have in terms of distribution service, parts capabilities, new unit sales and we are investing significantly in lift truck automation in the use of that is of individual lift trucks that they're more productive in terms of the manpower involved but also in areas like telematics where we think we have a very good offering. So our approach is much more focused on the needs of the fork lift truck business and the users of fork lift trucks specifically. Now we have to be very careful that our systems are -- our automation systems are able to tie in with all of the factory control systems and so there is a significant software element to it, but we're much more focused on the intersection with the fork lift truck business and so we feel pretty comfortable with where we are. The Dematic business is a very good business but it's to a significant degree simply a different business.
Colin Wilson: Yes, I mean, if you look at our distribution clearly they are dealing with Dematic type customs every day but very-very few of our dealers have what I would call systems businesses which is really what you need in order to be successful, selling to those customers and those who do, really the only way they can be successful is if they completely carve them out, and have different management and different marketing strategies and approach to the market so I think we maybe have a handful at best of dealers that are in that business and all of them are successful have them as separate businesses and that really I believe is the only way that Kion will be successful but the strategy is to keep it separate.
Al Rankin: Really a factory automation business much more than it is a fork lift truck automation?
Mig Dobre: All right, I appreciate the color and I agree with you on that point, I guess the question that I had is whether or not this basically completely changes the value proposition in terms of a competitor being able to provide a full solution if you would for factory or warehouse automation rather than just one component like lift trucks for instance?
Al Rankin: Full solutions have been offered for years and years and years and the history of full solutions is that the customers don't buy it. Customers want the best value proposition for each of the segments and that's what they buy and it's a good concept, reminds me of all the old-old days when I was working for Eaton Corporation we had something called the materials handling business and it included a voice and it included a construction equipment, it included fork lift trucks. And believe me that total solution concept in certain cases didn’t bring a total solution there were some pieces that helped but didn’t make a lot of difference. Now that’s a little different situation but we generally feel the same way. I think that yes, it’s going to be consumed in making that business successful.
Colin Wilson: No I think if it would have made sense Mig Dematic would have tied with a manufacturer or manufacturers and totally tele-grade it and so would Hical and companies like that and they have chosen to be independent and basically when they are working with the Amazons of the world with solutions Amazon really want to make sure that they are getting the best big trucks for their applications and so Amazon truck independently and customers like Amazon truck independently with wholesales and our lift truck competitors and we don’t see that changing. So we will watch it very carefully and make sure that our analysis continues be correct analysis but at the moment that’s the way we see it. Where we are working very carefully with our dealers closely with our dealers is really encouraging them to be -- the really more specialization into warehouse competencies to allow them to again sell the material handling for the solutions into a broader segment of this warehousing market.
Mig Dobre: Sure. And then maybe a last question from me before going back in the queue is, clarification on EMEA margins, I understand you were citing some currency hedges as headwinds in the back half. I do want to understand if you are implying actual operating losses in the back half of the year, and may be kind of help us with the magnitude as to what you have in mind and related to this I am really trying to understand the baseline margin for this business at this point as a way of thinking about the out year. If FX is not an issue and we just made the arbitrary assumptions that volumes are flat, what would the natural operating margin for this business be at this point?
Al Rankin: Well I am not sure I could answer the latter questions. Let me start with the former one in Europe the third quarter is always a quarter of disruption as it has vacations and significantly lower margins that are probably going to be more true than 2016 than it was in 2015 and though I think you are going to see an impact of currency, you are going to see a very significantly impact of currency in the third and fourth quarters. And then there would be some manufacturing variances that are greater than they were '15 and 2016 and we used a vacation schedule to deal with that. So those are the major drivers in Europe but I think you have to look at our forecast and the suggestions that we have made about the forces at work and grow your own conclusions about the margins and -- but I think we feel that -- this is basically going to be driven by volume and our objective is continue to be to focus all of our energies and efforts on improving the volume now the rest of the business is doing okay.
Mig Dobre: Right, I am sorry to push on this but that’s the issue that I can’t draw my own conclusions based on all the moving pieces. FX is obviously creating just because of your hedging creating some headwinds and I am trying to understand what the right way to think about the margin in this business is it earning 2% is it 3% if FX wasn’t an issue. That’s the essence of my question really?
Al Rankin: Well, you know I had said we don’t give forecasts, so you’re going to have to draw your own conclusions in that regard.
Mig Dobre: Okay.
Operator: Your next question comes from the line of Mike Shlisky from Seaport Global. Your line is open.
Mike Shlisky: Hey guys good afternoon. I want to echo Mig’s comment that also it has been very tough to find a good base margin in Europe, maybe I can ask a little bit different way about your, looking back on the past couple of years you haven’t really gotten above the 5% margin range most years you hadn’t gotten above 4% recently at least. And so kind of curious, is there any chance that you might have in late ’15 or in ’17 to either restructure or cut costs in some way that it keeps those margins supported, I am kind of curious if it lass first half of this year some companies out there have been hitting a lot success with their cost control I am kind of wondering if that’s a possibility for Hyster-Yale as well in Europe in the back half of the year.
Al Rankin: Well, we let me just take some of the pieces of what you might generically consider is a part of cost control. We have extremely good control and management of our supply chain costs. There are pressures that are causing some of those costs to go up, but we do manage our pricing to try to maintain our margins. The only place where we tend to have sometime some slimmer margins is in conquest account situations where we have to take a longer view about the situation and invest in serving the customer more effectively. But, thank as to the gross margin we feel reasonable. Currency obviously has an effect on us so as hedges roll off our gross margins are under pressure in Europe due sourced from U.S. to some degree and in our businesses and those sources at the moment are very expensive. We continue to look at opportunities for adjusting our sources that we can manage those costs as effectively as possible. So that’s kind of the material cost price bucket. The obviously the degree of volume particular of the very large big trucks and significantly to the other larger trucks those that are over 3,500 thousand pounds tons are have a significant impact on our volume variances. And so those are efforts where we have to try to get the volumes regardless of the size of marketplace but that's a tough proposition particularly in the big truck market where we have quite a significant share to begin with. So manufacturing margins and the degree of absorption of the fixed cost is significant driver but certainly we manage that to try to have the right direct and indirect force levels in place to mitigate any changes that occur there. As far as costs below that are concerned SG&A we manage those pretty carefully but I would tell you that in light of some of the uncertainty in the marketplaces around the world and in our businesses we are really focusing in on ensuring that the manpower levels are managed in the most appropriate way and we'd like to have more and more of our manpower focused on our revenue generating activities and find as much productivity generating activities as we can to free up people on -- to be on the revenue generating side but basically this is not a time when we will be increasing our SG&A manpower period, for the reasons you have cited we expect to control that. As far as broader, that is sort of the structure of the P&L, but as far as broader restructuring we've done that a long time ago and in our core fork lift truck business it's really a very efficient operation the big driver is volume, that's we had the share gain focus and we expect that over the next couple of years to have an increasing payoff for us. Now there are opportunities with the Bolzoni business coming into play here and that will be helpful, as Christy indicated now we own 100% of Bolzoni until we owned 100% we were not in a position of being able to work closely with Bolzoni to begin to implement and even exchange certain consent information related to implementation of our key programs there to gain synergy values, but we expect to drive some considerable benefit from the Bolzoni benefit of the Bolzoni business as we look forward. We will continue to run it as a separate business, we have customers that are other lift truck OEMs and they deserve to have their business information kept on a confidential basis and that's the way we're going to run the business on the other hand there are opportunities to reduce cost and do various kinds of integration activities which are really kind of beginning in full swing right at the moment. So that's the best way I can answer your question. We're very attuned to managing the cost structures but there are not significant opportunities out there for implementation, we have the right number of plans we have the right number of facilities more broadly the business is really run pretty darn efficiently we made changes in our supply chain structure and management, changes in our manufacturing management over the years and so that’s pretty much behind us.
Mike Shlisky: Okay, got it. I want to talk briefly too about Bolzoni here, as well. You had mentioned a flattish revenue outlook for the back half of this year but you didn't say much about the margins. If you back out the one-time items and look at last year's financials from them it's roughly a 6% to 7% operating margin business, or at least so it appears. Is that leading you to believe in the back half that it will not be in that range for that particular business? Or is there anything you're looking at that might make it at either higher or lower than that? And of course my question excludes one-time costs.
Al Rankin: Well the real problem is excluding the onetime costs and I think if you have to read Christi's comments or think about them carefully because they are focused on sort of the magnitude of the onetime cost that you know that fall through an acquisition as revaluations occur in that context, so that process of flow through is going to be occurring over the rest of the year. Secondly you are going to have to, one of the complications is you will have to distinguish between cash charges and non-cash charges. And the non-cash charges go up but they really don’t inform us the economics they just inform us to reported the earnings from the business, those of course that are required by GAAP accounting and no choice in that guard. By the underlying economics of the business this year in comparison to last year for Bolzoni we think are very sound and probably roughly comparable for the second half of the year. So what are the driving factors that then need to be taken into account? We think that there are opportunities to increase the Bolzoni volume in certain markets where they have less market position than they do in Europe and we will be working hard to develop those to enhance our position in those markets as number one. And number two are the integration activities that I mentioned before. Those integration activities will sort of fall into two or three different categories. There are the ones that may increase, that will increase Bolzoni volume where we can move certain product sourcing into Bolzoni and have a better contribution to our overall company profit than we currently have. Secondly there are opportunities to simply reduce expense in various areas by drawing on our joint capabilities and we will be focused on those as well. Well respecting that it is an independent business segment in terms of management and reporting and we will be looking at a number different kinds of actions and can save additional money as specific programs of, integration program. So those could include for example supply chain opportunities to help them to reduce their cost purchasing certain kinds of raw materials and so on and so forth. I think the core business it continues to be sound, I also think that as a practical matter Bolzoni’s markets have seen the big upturn just as we were discussing about the few minutes about the heavier side of the marketplace a number of the Bolzoni attachments are used in that segments marketplace they saw a big upturn 2009-’10, or ‘10-’11-’12 so and so forth and now we’re going to need to enhance our market position in the areas where it has been strong as it is in Europe. So that’s our overall Bolzoni story. Colin anything you want to add to that.
Colin Wilson: No, just a one comment I want to stress the running it as a separate business so all things commercial will be behind a wall and also the for the management team of Bolzoni to deal with their customers including ourselves from a pricing customer relationships point of view. So, well we’re really cooperating with Bolzoni and that’s only very-very recently because couldn’t really do anything until the whole tender process have been complete is really what is -- how can we leverage their capacity to do things that we are currently sourcing to other suppliers. And then how can we help them to get their cost down to make them a more efficient supplier. So that’s where the real effort is on the manufacturing big and then the big opportunity on the sales growth side is in the Americas it is one of the prime reasons we made the acquisition because there is a majority supplier in U.S. which is Cascade and we will still be doing business with Cascade because many of our customers will still won’t buy the attachments but we really see good opportunity overtime to significantly to grow the Bolzoni business here and to a lesser degree in Asia.
Mike Shlisky: Okay. I also want to throw one more in here before I hop back in the queue. If I'm looking at this correct on the press release and what Christy mentioned, you started shipping PowerEdge I think you really sales are going to be in Q2. It looks like it started happening at the very start of Q3. But you didn't mention anything about PowerTap. Was there any PowerTap shipped during Q2 or have you had any PowerTaps shipped thus far in Q3?
Al Rankin: No, we’ve got a backlog for PowerTap production, and -- but there the sales weren’t there in the second quarter Mike.
Mike Shlisky: Okay.
Al Rankin: Did you match up with the other in other words a lot of the prospects for those matchup with some of the fuel cell battery box replacements so our launch customer for example does have in order for our PowerTap it’s been installed it will be recognized but it will be recognized in Q3.
Operator: Your next question comes from the line of Joe Mondillo from Sidoti & Company. Your line is open.
Joe Mondillo: Since we're talking about Nuvera I'll just start with that. Just wondering, in terms of your goal of trying to break even by the end of 2017, early 2018, just wondering, given the trend in that business and how things are going with what you're doing there, and combined with the softer economy that we're seeing globally, is that a harder goal at this point compared to a couple quarters ago? Or do you think that's still achievable?
Al Rankin: I guess I’d say that it is certainly an ambitious goal to reach that running rate at the end of '17 or in early '18 we think it’s still achievable but I guess I have to say that it's hard to make those kinds of forecasts with precision. Everything will depend on our ability to have a pipeline of customers we think the products are going to be there, that's not going to be the issue. We've seen tremendous interest, we're going to have some customers who want to test our products before they commit to buy them but we feel when they are tested that we compare very favorably to our competition and so we feel we still, we still feel that that's an achievable goal but at the end of the day it's a long game we're playing here with very high stakes and tremendous upside potential probably more than we anticipated when we bought the business.
Joe Mondillo: And then in terms of Bolzoni, that $1.9 million a quarter of amortization, is that a run rate or is there anything in there that's inflating that a little bit that we're not going to see going forward?
Al Rankin: Yes there's a portion of that is related to inventory adjustments that you have to take in the first quarter because we expect the turn was in the second quarter, those costs are now behind us. I would expect that 1.9 to be reduced over the next couple of quarters Mike, I'm sorry Joe, and I think when you look at in total Bolzoni added about $2.8 million of depreciation and amortization about roughly a little less than half of that was the add-on for the amortization on the purchase price of intangibles, I hope that helps you.
Joe Mondillo: In terms of the America operating margin, when you look at your backlog, knowing what you have there, and looking at the back half, it seemed like a quarter ago you were thinking that operating margins may be somewhere comparable to the back half of 2015. When you look at the backlog now and how those orders have trended, especially with the big trucks, is there any reason to believe that we're going to see higher margins, that that 5% margin that you saw in the first half of this year that we're going to see any significant improvement from that?
Al Rankin: Well again the way I would tend to think about it is that we're suggesting if volumes in the back half, the revenues are going to be down particularly in the third quarter. And so I think you're going to see some significant volume impact in terms of the -- from an overall point of view and you're going to see a significant mix impact because we don't have the larger trucks and because their fewer trucks that are flowing through you're going to have more manufacturing variances particularly in the third quarter. But nothing fundamental that is changing in terms of the prospects if you look through to the fourth quarter now those are the sort of the major drivers as we look at it, it's a volume related story, volume and mix related story, those are the key factors that I would emphasize and you got Brazil. Brazil is a bit of a wild card. We feel Brazil its showing some real signs of bottoming in terms of the booking level at this point. We are very well positioned and in Brazil we have been through a period when our dealers had excess stock in comparison to the number of units that they were selling. That’s really I think Colin essentially he made us sit behind us and they actually and really should the market picks up it will be an opportunity because they are going to have to start building their levels again. I mean that is not the right levels for the market the way it is at the moment. We have a new very efficient plant that is ready to go and so localizing more trucks down in Brazil and that will come through some of it in the third and fourth quarters and some of it next year. So there are a lot of important developments and Colin you might also say you are worried about another factor that is hard to calibrate but we have some new products coming out and we have very high degree of confidence that those are going to help us compete more effectively and what I'd call sort of middle market applications or middle little duty applications.
Colin Wilson: But the new IG engine product coming out, starting to ship in the third quarter, this is the truck that we will be shipping in the third quarter out of our Craigavon and Berea plants. That's one in Northern Ireland and one in the U.S. And then as you move in the next year it will also be producing he China, it’s already produced in Japan and we will be moving that into Brazil next year. Dealers are very excited placed a significant number of advance orders for the product. It doesn't, obviously, appear in our numbers because we haven’t shipped any of them yet but there is a tremendous amount of excitement about the product that it really hits the need for the type of standard duty when the truck can be worked hard but it’s the right price point with the right specification to really attack the heart of the market. So we think that can open up opportunities with customers, we have had tough time being competitive with, with our premium products they are very sophisticated and they are not always precisely appropriate for those standard duty applications. So if anything there is an upside opportunity from those it is very difficult to forecast the quantity and the timing.
Joe Mondillo: Okay. And just going back to my original question, it seems like mix is obviously the biggest issue. And I understand from a year ago it's definitely going to be a head wind. If we look at the 5% in the first half of the year, is that the bogey or is the backlog continuing to weaken directionally or sequentially, if you will, on a mix perspective? So, could we, because of that, see sub 5% operating margins because the mix is just continuously getting worse? Or has the mix issue stabilized on a sequential basis?
Al Rankin: Well I am not going to comment on the operating profit margin per se. But there is no question that in the third and fourth quarter they are going to be headwinds in truck shipments that are consistent with our comments about the adverse mix and the volumes in certain portions of the market and those are going to be, going to have an impact in the third and fourth quarters.
Joe Mondillo: And when you say headwinds, are those sequential headwinds, because I realize year over year is definitely going to be a headwind, but sequentially, compared to the first half of the year, is it going to be a headwind?
Al Rankin: Well, I think our volumes are going to be fairly comparable in the third and fourth quarters better in the fourth quarter really, but the mix issues become the predominant ones plus the currency effects that we described earlier I’d leave it at that.
Joe Mondillo: Okay, okay thanks. Just lastly, I just wanted to ask you about Western Europe and your orders that you're seeing there. Have you seen any effects from the whole Brexit event and anything with the economies over there in an adverse way?
Al Rankin: Not from Brexit per se at this point it’s probably too early to, there may be some slowdown but I don’t know if we’ve really seen it.
Colin Wilson: Western Europe and on the Eastern European markets are both being very strong lately in general. Middle East and Africa is the market that’s being down, but within Western Europe you look at individual countries, the UK is, people there are taking a very cautious view at the moment so that market is down but Western Europe as a whole is up.
Al Rankin: The only thing I’d add is that historically we have had a quite good position in Turkey and that’s the real one that’s up in the air at this point.
Joe Mondillo: And the UK turning down, has that just been recently or has that been consistent for the first half of the year?
Colin Wilson: Last several months.
Joe Mondillo: Okay.
Colin Wilson: I mean UK was a pretty strong market last year. It's still strong if you look back compared to coming out of the great recession but there's just some hesitation.
Al Rankin: On Brexit it’s too early in my view to say whether there is any positive effect from Brexit I just -- we can’t see it at this point as Colin is making some observations those are the facts, but I don’t think we’re really willing at this point to attribute them to Brexit at this stage of the game.
Operator: [Operator Instructions] Your next question comes from Mig Dobre from Robert Baird. Your line is open.
Mig Dobre: Yes, thank you for taking my follow-ups. I wanted to ask a little bit about pricing, as well. You mentioned your specific pricing but general price pressure, I'm trying to understand if this has to do with you attempting to gain share or if this has to do with you trying to protect your share from others being aggressive with price. And then related to this, materials are a tail wind for you, still, in 2016, but they're probably not going to be in 2017. If pricing remains weak, do you have any ways to address margin impact?
Al Rankin: I think my assessment is that pricing is, our price cost relationships with our traditional customers are continue to be pretty consistent I don’t think that’s a big issue for us. I think there are certain situations where as I have said we have had to invest customers, some of it is priced but some of it is also cost in terms of serving the new customers effectively making sure that they're satisfied with not only the new units that we're selling them but also with the support of those units in terms of service and parts and the integration of the units into their activities on a successful basis they are training to do. So there are a variety of things that can as we focus on our share gain efforts that can have some price effect. I think that we've been very fortunate that the material costs have been sufficiently favorable in general overcomes that as we look forward we're not forecasting that that's going to be as favorable. Now I would tell you that two quarters ago we weren't forecasting that it was going to be as favorable as it was in the first 2 quarters of this year either, and so that's been a helpful development, but still we think the fundamental pressures are toward certain supply cost prices increasing some of the supply cost prices are sufficiently low that the, the commodity sellers are just really struggling and as the volume comes up it's certainly understandable that some of those prices are going to come up as well. And I think to that degree we may not be able to forecast some particularly accurately in the third and fourth quarter but if you take a little longer timeframe as you're suggesting it will flow into '17 those pressures are going to be adverse. But I don't see an inability for us to address those changes in material cost by adjusting our prices in an appropriate way either, so it isn't a question of -- we're just not that kind of commodity business and most segments of our business we want to make a fair return and we think we can do that because of the values that we offer to our customers, that is not like steel selling around the horn and someone coming in with the lowest price and just selling a commodity at the lower price, so that's the best answer I can give you at this point.
Mig Dobre: Yes, so you basically expect to be able to increase your prices with raw materials into 2017?
Al Rankin: That would be our expectation, correct.
Mig Dobre: Okay, thank you for that. And then my last question is sort of a bigger picture question here. When I think about your strategic goals and what you're trying to do to build the business, a lot of it revolves around the warehouse product. Obviously we spent the better part of this call talking about mix being an issue as some of this warehouse product is lower margin. My question is this -- as you are trying to gain more and more share in the warehouse space, does this imply structurally lower margins for your business, effectively taking off the table that 7% operating margin target that you outlined previously?
Colin Wilson: It depends how you define margin, Mig. We tend to use margin dollars or margin percent. So, particularly in the class 2 area, the opportunity of making margin percent very consistent with our 7% target, it's absolutely there. It could even be upside. Class 3 is a big more of a dog fight, particularly at the high volume end where a lot of people put very low prices out just to try to buy market share. What we are really interested in is growing the class 2 business in particular, and that can be very satisfactory margins.
Al Rankin: Let me say too -- first let me come back to your point you made a minute ago that pricing strength. All of my comments on the pricing reflect our sense of the current environment, if we were going to recession or a significant portions of the business around the world change then that would change the environment so I am really making those comments against that backdrop. And just a comment on our aspirations in terms of share gain certainly we called out it’s a strategic initiative focused on the warehousing segment of the business. And that was significantly because it hasn’t been as much of a strength for us, we had to make sure that all components of that business not just the product. All of the service support, all of the ability to understand the customers’ needs and to have the entire spectrum of capabilities that a customer wants to have was very much a part of our -- the reason why we called it out. But as far as a broader interpretation of share gain is concerned we want to -- when we want up fill up our factories. We mean each line within each of our factories and that means we have to gain share and in almost all areas of the business and if the markets is a little lower we set our sights a little higher for the share gain objective. So that’s true in the different segments of the class 4 and 5 market and the class 1 market. So the share gain really isn’t in anyway focused just on the warehouse market. I'd describe that as a special subset of that, in some ways it maybe -- we may have a more direct path to gaining share in our traditional account balance markets especially with some of the new products that Colin and I described, as we look forward but it's an across the board effort.
Operator: There are no further questions at this time.
Christina Kmetko: Okay. Al do you have any closing comments?
Al Rankin: I do not. I think we have outlined our basic perspective as we look forward and so be focused on the programs we have been focusing on.
Christina Kmetko: Okay. Thank you everybody for joining us today we appreciate your interest and if you do have any follow-up question you can reach me at 440-229-5168. Thanks and have a great day.
Operator: And thank you ladies and gentlemen for participating into this Q2 2016 Hyster-Yale Materials Handling Inc. earnings conference call. This call will be available for replay beginning at 4 PM Eastern Time today, through 11:59 PM Eastern Time on August 15, 2016. The conference id number for the replay is 28468503 again the conference ID number for the replay is 28468503 and the number to dial for the replay is 1800-585-8367 and again that number is 1800-585-8367. And this does conclude today’s conference call. You may now disconnect.